Operator: Good afternoon, ladies and gentlemen and welcome to the Huron Consulting Group's webcast to discuss financial results for the Fourth Quarter and Full Year 2020. At this time all conference call lines are in a listen-only mode. Later, we will conduct a question-and-answer session for conference call participants and instructions will follow at that time. As a reminder, this conference call is being recorded. Before we begin, I would like to point all of you to the disclosure at the end of the Company's news release for information about any forward-looking statements that may be made or discussed on this call. The news release is posted on Huron's website. Please review that information along with the filings with the SEC for a disclosure of factors that may impact subjects discussed in this afternoon's webcast. The Company will be discussing one or more non-GAAP financial measures. Please look at the earnings release and on Huron's website for all of the disclosures required by the SEC, including reconciliation to the most comparable GAAP numbers. And now I would like to turn the call over to Jim Roth, Chief Executive Officer of Huron Consulting Group. Mr. Roth, please go ahead.
Jim Roth: Good afternoon and welcome to Huron Consulting Group's fourth quarter and full year 2020 earnings call. With me today are John Kelly, our Chief Financial Officer and Mark Hussey, our President and Chief Operating Officer. Before I begin, I would like to highlight that we have placed supplemental materials on our website at IR.huronconsultinggroup.com to provide additional detail about the range of our views and how the COVID-19 pandemic might influence our outlook for 2021. These supplemental materials should be reviewed in conjunction with our earnings call and not on a standalone basis. Company-wide revenues declined 4% in 2020 compared to 2019 reflecting the challenges that the pandemic presented to our two largest industry verticals healthcare and education. These challenges were partially offset by strong growth in the Business Advisory segment, which achieved record revenues during the year and now represents 32% of total company revenues. Our strategic focus on expanding our offerings into commercial industries within the Business Advisory segment proved to be beneficial in 2020 highlighting the benefits of increased diversification in our portfolio and then in markets. I want to spend a few minutes talking about 2020 to provide perspective on how the year evolved for Huron. Our primary focus has been and continues to be on profitable revenue growth. And while we didn't achieve our objectives set prior to the pandemic Huron’s response during the pandemic was strengthened by our collective resiliency, creativity and market relevancy amidst the many challenges that are -- that faced our client base. We were proactive and took critical actions during the year that we believe positioned this company for growth in 2021 and beyond. In 2020, when many of our clients were experiencing substantial losses, we worked closely with them to develop solutions which helped them manage through this period of significant disruption. In 2020, we generated over $30 million in revenue from offerings that were directly responsive to COVID-19 pressures faced by our clients. These critical efforts demonstrated the extent to which we can be nimble and innovative and quickly create new revenue opportunities. We also successfully recruited senior leaders into multiple businesses including several experienced personnel that will help us further execute on our commercial strategy as we establish service lines that we believe will generate new avenues of collaborative growth beginning in 2021. We also took proactive measures to manage our cost base throughout the year including tightly managing our discretionary spending, modestly adjusting our workforce and reducing our real estate footprint to achieve a level of operating efficiency that we believe will create a foundation from which we can grow and expand margins in 2021. In addition to our cost management efforts, we effectively managed our cash position increasing cash flows from operating activities to $137 million for the full year. Our strong cash flows enabled us to reduce our net debt by $60 million, while also initiating and successfully completing the implementation of a new cloud ERP system, which went live on January 1, 2021. We continue to strengthen our advanced technology offerings across all of our segments. While the term digital transformation has many meanings the importance of technology and helping our clients survive and thrive in environments of disruption is very apparent as evidenced by the strong demand we saw for our digital, technology and analytics offerings in 2020. Revenue from technology services throughout the company has had a compound annual growth rate of nearly 20% since 2015 and has grown to over 30% of total company revenues in 2020. We believe this trend will continue based on the demand we anticipate for these services across all of our end markets. The pandemic has highlighted the need for many organizations to adopt cloud technologies, automation and analytics to strengthen their competitive position and be responsive to this rapidly changing environment. Some professional services firms have strong technical competencies, while others have deep industry experience. Huron has both and these competencies are integrated across all of our businesses enabling us to provide digital, technology and analytics offerings across multiple industries. Lastly, we continue to support our people professionally and personally as they manage through an incredibly taxing environment. Our efforts in 2020 increased our already high employee engagement scores clearly demonstrating that our nearly 4,000 person team is supportive of how we manage through the pandemic. And equally important that they continue to be excited about being a part of our growth strategy. I will now share some additional insight into our fourth quarter and full year 2020 performance along with our expectations for 2021. On a full year basis, Healthcare segment revenues declined 12% over 2019. In the fourth quarter of 2020, the Healthcare segment declined 18% over the prior year quarter consistent with our expectations. The resurgence in COVID-19 patients, while not as disruptive as it was at the onset of the pandemic and the well justified distraction caused by the vaccine rollout during the fourth quarter took a toll on our healthcare clients which resulted in some project deferrals. We remain cautiously optimistic about performance in this segment as our sales pipeline continues to develop driven by the increased pressures facing the healthcare industry. When the ongoing impact of the pandemic eases, we expect there will be a resurgence of demand for healthcare services across the portfolio including our performance improvement offerings. We expect our clients will continue evolving their care delivery models and operations to accommodate the ongoing transformation taking place across the industry. Efforts to improve cash collections and create better access to care will also be important to ongoing priorities for healthcare clients with margin challenges. Finally, and consistent with my prior comments, we expect to see an increase in technology spend among health systems, particularly in support of telehealth and the application of Intelligent Automation and Analytics. Turning to the Business Advisory segment, on a full year basis, segment revenues grew 6% year-over-year, driven by strong demand in our digital technology and analytics and distressed advisory offerings offset by softer performance in our strategy related offerings. In the fourth quarter of 2020, Business Advisory segment revenues declined 4% over the prior year quarter. The Business Advisory segment faced tough comparisons following solid growth in the fourth quarter of 2019. The quarter-over-quarter decline in revenue was primarily attributable to our distressed advisory and strategy offerings partially offset by continued growth in our digital, technology and analytics offerings. Our technology and distressed advisory offerings both achieved record revenues in 2020. And each of the four businesses in the segment are well positioned for growth in 2021. Driving that growth will be the need for companies across all industries to reevaluate their market position and future strategy to accommodate the disruptions and opportunities that have resulted from the pandemic. I want to highlight our continuing investment in expanding our commercial sector expertise and capabilities. We believe that our investments all of which are contemplated within our guidance estimates will accelerate new growth areas and position Huron to take advantage of the significant market opportunities that exist across the commercial industries we serve in addition to the collaborative opportunities within healthcare and education. Turning now to the Education segment, revenues in this segment were generally flat in 2020 as compared to 2019. In the fourth quarter of 2020, Education segment revenues declined 21% over the prior year quarter. Coming off of a very strong first half of the year, this segment saw several engagements get deferred until 2021. The lack of growth in 2020, which stands in stark of contrast to consistent growth in the segment over the past five years reflects the dramatic impact of the pandemic on the operations and finances of our head -- of our higher education clients. Since the beginning of 2021, we have seen positive momentum and demand for our research, strategy, business operations and student related offerings. While our clients remain cautious about starting significant technology related engagements given the size of these investments, we believe that as the market stabilizes previously differed opportunities will begin to restart. Many educational institutions found that their digital platforms were insufficient to address the surge in remote learning and are equally deficient in terms of introducing cloud technology to the administrative research and student aspects of their business. Well, many of our higher education clients were focused entirely on transitioning to remote learning during the fall semester most colleges and universities have brought students back to campus in early 2021. While there is some hope that this year will be less disruptive, educational institutions will face a dramatically different world in the future. And in many cases, current business models will not suffice in the future environment creating numerous opportunities for our services. Let me turn to our expectations and guidance for 2021. Our revenue guidance for the year is $830 million to $890 million. We also expect adjusted EBITDA in a range of 10.75% to 11.75% of revenues and adjusted diluted earnings per share of $2.25 to $2.75. I will now provide a few thoughts regarding expectations for each segment as well as overall company profitability. With the pandemic and its corresponding uncertainties still evolving, we believe we have -- we will have modest sequential revenue growth in the first half of the year as compared to the second half of 2020 followed by stronger growth in the second half of 2021, which translates into approximately 2% growth for the full year at the midpoint of our 2021 guidance. Several factors are in play in arriving at this estimate. First, while we have seen some positive and more sizeable conversions recently in our pipeline, we believe it is appropriate to be conservative in our estimates until we get better visibility as to how and when the pandemic will ease particularly in the healthcare and education industries. Second, this guidance reflects a tough comparison over the first half of 2020. Although our healthcare business felt its biggest impact in the March through June timeframe last year, the Education and Business Advisory segments had a strong first six months last year. Third, we believe that the second half of 2021 will be better than the first half of this year, particularly for healthcare and education. It is our hope that our fourth quarter run rate will be closer to our pre-pandemic run rate in the fourth quarter of 2019. At the midpoint of our guidance, we anticipate Healthcare segment revenues will grow in the low single-digit range 2021 as compared to 2020. Our guidance also reflects mid single-digit revenue growth in the Business Advisory segment. In the Education segment, we anticipate a low single-digit decline in revenue growth for the year, reflective of the difficult first half comparisons driven by the strong growth we experienced in this segment at the beginning of 2020. In terms of margins in 2021, our guidance reflects our commitment to expanding margins and is inclusive of the proactive cost savings measures taken in the fourth quarter as well as strategic and operational investments that we believe will enhance our revenue growth trajectory drive deeper operational efficiencies and create opportunities to better leverage our G&A. My management team and I firmly believe that we have positioned this company for solid growth in the coming years. Our growth in the commercial markets remained strong in 2020. And there's no question in my mind that we are well positioned to address the significant challenges that the pandemic has had on healthcare and education industries. Our cautiousness at this time at the end of February is indicative of our desire to be conservative as to the timing of increased conversion and our healthcare and education pipelines. Although in both cases, we have already seen some reflection of that taking place. We are firmly committed to our financial strategy of achieving sustainable organic revenue growth and expanding margins over time. In summary, our clients are facing significant disruption in mounting financial and operational pressures that we believe will drive strong demand for our services as the company -- as the economy stabilizes. And we believe we are well positioned to take advantage of these opportunities as they arise. While we believe we have navigated the near-term disruption, our focus has consistently remained and positioning Huron for the longer term. We are committed to executing on priorities to drive shareholder value which include achieving sustainable organic growth, driving margin expansion, strategically deploying capital and investing in our people. Amidst the turmoil of 2020, we continue to execute on our five-year strategy that will strengthen our competitive advantage across markets. Now, let me turn it over to John for a more detailed discussion of our financial results. John.
John Kelly: Thank you, Jim and good afternoon everyone. Before I begin, please note that I will be discussing non-GAAP financial measures such as EBITDA, adjusted EBITDA, adjusted net income, adjusted EPS and free cash flow. Our press release, 10-K and Investor Relations page on the Huron website have reconciliations of these non-GAAP measures to the most comparable GAAP measures along with a discussion of why management uses these non-GAAP measures and why management believes they provide useful information to investors regarding our financial condition and operating results. Also, unless otherwise stated, my comments today are all on a continuing operations basis. Also, our acquisition of ForceIQ, which closed in November is included in our fourth quarter financial results in the Business Advisory segment. Our recent acquisition of Unico Solutions, which closed in February is not included in our fourth quarter financial results. Unico Solutions will be included in the Business Advisory segment beginning in the first quarter of 2021. The Unico Solutions acquisition strengthens our data management and governance capabilities as we help clients better manage their data and optimize their operations. Now, let me walk you through some of the key financial results for the quarter. Revenues for the fourth quarter of 2020 were $198.3 million down 14.6% from $232.3 million in the same quarter of 2019. The decline in revenues in the quarter was primarily driven by the Healthcare and Education segments as the impact of the pandemic continued. For full year 2020 revenue was $844.1 million down 3.7% from $876.8 million in 2019. As Jim mentioned that decline in revenue over the prior year was driven by the Healthcare and Education segments which was partially offset by solid organic growth and the Business Advisory segment. The performance of the Business Advisory segment, which achieved record revenues in 2020, emphasizes the benefits of a more balanced portfolio across our services in end markets. Net loss was $6.1 million or $0.28 per diluted share in the fourth quarter of 2020 and includes the pre-tax impact of restructuring and lease impairment charges of $18.7 million. This compares to net income of $14.4 million or $0.63 per diluted share in the same quarter in the prior year. Full year 2020 net loss was $23.7 million or $1.08 per diluted share and includes the previously mentioned fourth quarter pre-tax restructuring charges as well as the first quarter pre-tax goodwill impairment charge of $59.8 million. This compares to net income of $42 million or $1.87 per diluted share in 2019. Effective income tax rate in the fourth quarter of 2020 was a benefit of 43.7% and a pre-tax loss of $10.8 million compared to 18.5% and pre-tax income of $17.6 million a year ago. Our effective tax rate for Q4 of 2020 was more favorable than the statutory rate inclusive of state income taxes, primarily due to the impact of our net operating loss that will be carried back to prior year income at a higher prior year tax rate is provided for under the CARES Act and Federal Tax credits recognized during the quarter. On a full year basis, our effective income tax rate for 2020 was 30%, which is more favorable than the statutory rate inclusive of state income taxes, primarily due to year-to-date pre-tax losses. Tax benefits related to Federal Tax credits a discrete tax benefit for vested share based compensation awards and tax benefits related to non-taxable gains on our investments used to fund our deferred compensation liability. The favorable items were partially offset by increases in our valuation allowance primarily due to increases in deferred tax assets recorded for foreign tax credits. Certain non-deductible business expenses and the non deductible portion of the goodwill impairment charges recorded during the first quarter of 2020. Adjusted EBITDA was $17.1 million in Q4, 2020 or 8.6% of revenues compared to $29.4 million in Q4, 2019 or 12.6% of revenues. For full year 2020, adjusted EBITDA as a percentage of revenues declined to 10.3% compared to 12.0% in 2019. Adjusted non-GAAP net income was $10.2 million or $0.45 per diluted share in the fourth quarter of 2020 compared to $18 million or $0.79 per diluted share in the fourth quarter of 2019. For the full year 2020, adjusted non-GAAP net income was $47.9 million or $2.15 per share compared with $61.6 million or $2.74 per share in 2019. Now, I'll make a few comments about the performance of each of our operating segments. The Healthcare segment generated 43% of total company revenues during the fourth quarter of 2020 and posted revenues of $85.1 million down $18.5 million or 17.9% in the fourth quarter of 2019. The decline in revenue reflects the impact of the ongoing COVID-19 pandemic on our new business pipeline and related slower conversion of soft backlog during the quarter. On a full year basis, healthcare revenue declined 11.5%. Performance based fees for the full year 2020 were $69.3 million compared to $71.1 million in 2019. Operating income margin for healthcare was 28.3% for Q4, 2020 compared to 30.6% for the same quarter in 2019. The quarter-over-quarter decline in margin was primarily due to a decrease in billable consultant utilization partially offset by a higher average consultant bill rates and lower indirect costs. On a full year basis, operating margin was 26.9% compared to 31.5% in 2019. The Business Advisory segment generated 33% of total company revenues during the fourth quarter of 2020 and posted revenues of $65.9 million down $3 million or 4.3% in the fourth quarter of 2019. Revenues for the fourth quarter of 2020 including $1.3 million from our acquisition of ForceIQ. The quarter-over-quarter decline in revenue is primarily attributable to our distressed advisory and strategy offerings partially offset by continued growth in our digital, technology and analytics offerings. The Business Advisory segment face a tough comparison relative to the fourth quarter of 2019, which benefited from higher success fees and the recognition of revenue that had been previously deferred upon receipt on a signed contract. On a full year basis, the Business Advisory segment revenues grew 5.9% year-over-year driven by strong demand for digital, technology, analytics and distressed advisory offerings. The operating income margin for the Business Advisory segment was 16.3% for Q4, 2020 compared to 24.2% for the same quarter in 2019. The quarter-over-quarter decline in margin was primarily due to increases in performance bonus expense based on full year results for our revenue generating professionals increased contractor expenses and increased restructuring charges. On a full year basis, operating margin was 18% compared to 19.7% in 2019. The decrease in operating margin year-over-year is primarily attributable to the shift in revenue mix towards digital, technology and analytics offerings, which have a relatively lower margin and away from our strategy offerings which traditionally have a relatively higher margin. Our strategy offerings were impacted by the effects of the pandemic during 2020. The Education segment generated 24% of total company revenues during the fourth quarter of 2020 and posted revenues of $47.3 million down $12.5 million or 20.8% in the fourth quarter of 2019. This decrease in revenue reflects the impact of the ongoing COVID-19 pandemic and our new business pipeline and related slower conversion of soft backlog during the quarter. On a full year basis, Education segment revenues were largely flat versus the prior year. Our education business had a strong start to the year driven by the momentum we had built in 2019 before our clients were severely disrupted by the pandemic. The operating income margin for Education was 12.1% for Q4, 2020 compared to 20.9% for the same quarter in 2019. The quarter-over-quarter decline in margin was primarily due to a decrease in billable consultant utilization and restructuring charges related to the headcount reductions during the quarter. On full year basis operating margin was 21.3% compared to 24.8% in 2019. Other corporate expenses not allocated at the segment level were $47.4 million in Q4, 2020 compared with $34.9 million in Q4, 2019. The quarter-over-quarter increase in corporate expenses is primarily attributable to $14.5 million of restructuring charges taken in the quarter to reduce our operating costs to address the impact of the COVID-19 pandemic on our business including the workforce reduction announced on our last earnings call as well as certain office exit costs. Fourth quarter corporate expenses also included $3.1 million in expense related to the increase in liability for our deferred compensation plan, which is fully offset by a corresponding gain and other income related to the increased value of the assets used to fund that obligation. Now turning to the balance sheet and cash flows, DSO came in at 52 days for the fourth quarter of 2020 compared to 62 days for the third quarter of 2020. This record low DSO reflects the efforts of our project and corporate teams to work closely with our clients during 2020 to ensure collections while supporting the needs of our clients. Total debt includes the $200 million in senior bank debt and a $3 million promissory note for total debt of $203 million. We finished the year with cash of $67 million for net debt of $136 million. This was a $40 million decrease compared to Q3, 2020 and a decrease of $60 million compared to the end -- compared to year end 2019. Our leverage ratio is defined in our senior bank agreement was approximately 1.9 times adjusted EBITDA as of December 31, 2020 compared to 1.6 times adjusted EBITDA as of December 31, 2019. Our net leverage ratio was 1.3 times trailing-12 months EBITDA as of December 31, 2020, when the bank definition calculation is adjusted for cash on hand, this compares to 1.6 times trailing 12 months of EBITDA as of December 31 2019, when calculating in the same manner. Cash flow from operations for 2020 was $137 million. We used $16 million of our cash to invest in capital expenditures resulting in free cash flow of $121 million. We also used $27.1 million of our cash to repurchase approximately 425,000 shares in 2020 to partially offset the dilution created by our share-based compensation programs. Finally, let me turn to our expectations and guidance for 2021. For the full year 2021, we anticipate revenues before reimbursable expenses in a range of $830 million to $890 million. Adjusted EBITDA at range of 10.75% to 11.75% of revenues and adjusted non-GAAP EPS in the range of $2.25 to $2.75. We expect cash flows from operations to be in the range of $70 million to $90 million. Capital expenditures are expected to be approximately $15 million to $20 million. And free cash flows are expected to be in a range of $55 million to $75 million, net of cash taxes and interest excluding non-cash stock compensation. Weighted average diluted share count for 2021 is expected to be 22.5 million. Finally, with respect to taxes, you should assume an effective tax rate in the range of 28% to 30%, which comprises the Federal Tax rate of 21%. A blended state tax rate of 5% to 6%, an incremental tax expense related to certain non-deductible expense items. Let me add some color to our guidance starting with revenue. Given the ongoing uncertainty created by the COVID-19 pandemic, we are issuing a wider revenue range than we typically would if the outside of the year. The midpoint of the guidance range reflects just under 2% revenue growth over 2020 revenue of $844 million. The midpoint of guidance assumes that we will report a year-over-year decline in revenue in the low double-digit range in the first quarter, as the first quarter of 2020 was relatively un-impacted by the pandemic. Our guidance assumes that we'll see sequential growth in the second and third quarters and that the back half of 2021 will reflect strong year-over-year growth when compared to 2020. With regard to the Healthcare segment, we expect low single-digit revenue growth for full year 2021. We expect operating margins will be in a range of approximately 26% to 30%, reflecting lower utilization in the first quarter that improves sequentially as the year progresses. In the Business Advisory segment, we expect to see mid single-digit revenue growth for 2021. And we expect our operating margin in this segment to be in the range of approximately 19% to 21%. In the Education segment, we expect revenues to decline in the mid single-digit range in 2021 reflecting a very tough first half comparison to 2020 prior to the impact of the pandemic on this segment. We expect operating margins will be in a range of approximately 23% to 25% reflecting lower utilization in the first quarter that improves sequentially as the year progresses. We expected -- we expect unallocated corporate SG&A to be relatively flat on a full year basis in 2021 compared to 2020, while excluding the fourth quarter restructuring charges incurred during 2020 in the corporate expense impact of our deferred comp plan. Turning to the total company, Huron’s adjusted EBITDA margin is expected to be in a range of 10.75% to 11.75% of revenues, an increase of 95 basis points at the midpoint of guidance compared to 2020. We anticipate that the first quarter of 2021 will be our lowest revenue producing quarter of the year. Also in the first quarter to reset a fringe rates at the beginning of the year, including FICA and our 401(k) match will have an impact on our first quarter expenses as this reset is fairly significant given our people driven business. Lastly in the quarter, we expect an increase in stock compensation expense for restricted stock awards that will be granted in March to retirement eligible employees. Based on these factors, we anticipate approximately 15% of our full year adjusted EBITDA and full year adjusted EPS to be generated during the first quarter. As a closer reminder with respect to 2020 adjusted EBITDA, adjusted net income, adjusted EPS there are several items that you will need to consider when reconciling these non-GAAP measures to comparable GAAP measures. The reconciliation schedules that we included in our press release will help walk you through these reconciliations. Thank you, everyone, I would now like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] One moment for our first question, please. Our first question comes from Tobey Sommer with Truist Securities. Please proceed, sir.
Tobey Sommer: Thank you. As you envision the year unfolding with things more subdued in the first half and then improving in the second, as you start to add headcount and grow again from that perspective, do you think you'll be able to continue to generate leverage or will it take a little bit of time to absorb that acceleration process and still expand margins?
John Kelly: Hey, Tobey. It’s John. I can start and then Jim and Mark can jump in if any color. I think that given particularly in healthcare and education where the utilization levels at the segments, segment level right now are lower, they are in the mid-60s of the fourth quarter. I think that as we do start to see growth and acceleration, I think that we'll be able to first ramp up utilization. We're hiring across the business right now. And that includes in healthcare and education, I'd say the hiring that we're doing and build those segments right now tends to be more strategic and more investments in areas where we think we're going to see a lot of growth in the near-term as opposed to really kind of adding capacity. But I think that as the year progresses step one will be to utilize some of the capacity that's there right now due to the lower utilization. And then once we get into the back half of the year, I do expect us to transition to hiring more aggressively, including adding capacity at that point based on what our expectations for revenue are going to be in the back half of the year.
Jim Roth: And Tobey, this is Jim. I would only add that I think we have a good pipeline right now. It’s for us it's just a question of converting the pipeline. And so I think, as John indicated, I think our sense would be that as the pipeline begins to open up and we've already seen signs of that happening across the board including healthcare and education, I think the first focus as John indicated, would be that we would use the existing capacity. But we, we also feel pretty confident about our ability to hire in on a pretty timely basis if that pipeline picks up quickly.
Tobey Sommer: Okay. And another kind of numerical thing, but also strategic, the balance sheet and leverage that you outline here does show leverage going down? Could you update us on your thoughts of the ranges of leverage that you would like to manage the business to intermittently sort of between acquisitions of size? Thanks.
John Kelly: Hey Tobey, John, again. I would say that from a leverage perspective, our target leverage at this point is probably somewhere in the mid one range, I'd say. I think our viewpoint is that that gives us flexibility to the extent that there's opportunities either as it relates to buybacks or as it might relate to strategic tuck-in acquisitions to be able to execute on those things, as well as the maintain a balanced approach in general we're able to take advantage of those opportunities, but still give us plenty of room from a debt covenant perspective. So I think that kind of the resting rate, if you will is probably around the mid ones. And we're comfortable flexing all the way up to the mid twos. I'd say anything above that just given the current economic environment we tend to want to have a little more cushion in our balance sheet then to go much above the mid twos. But that's generally how we think about it.
Tobey Sommer: Thank you. And then I have one question on the pipeline, I’ll get back in the queue. You did describe a sort of an active pipeline. Is there any sort of comment you can give us on the size of projects and the nature of projects that might differ to the extent there's a focus in the pipeline that is something that's maybe different or new than you have been working on the last year or so? Thank you.
Jim Roth: Tobey, this is Jim. I think the composition of the pipeline in terms of size is probably pretty consistent what we've seen before. And so I think from our perspective, we -- as we tried to indicate in our initial comments here what -- I mean, there really has been enormous changes particularly in healthcare and education, but really across our markets. And I think our pipeline reflects the fact that a lot of our clients are really facing a very different environment when this pandemic begins to ease. And so I think our pipeline reflects some of the seriousness of some of those changes that are likely to take place. And that's why I said we feel good about -- we feel very good about the demand for our services. It's just a question of trying to get the timing right at this point in time. And as John and I both indicated during this call, we had disruptions that we went back in June of last year, we thought well maybe the fall would be a lot quieter. And obviously, it's far from quiet. And so now things to kind of appear to be kind of maybe quieting down again and I think our clients are frankly looking at the exact same thing. So I feel good about the pipeline. I feel good about the portfolio of offerings that we have, I mean, I'm sorry, the portfolio of opportunities that are ahead of us. It's just for us it's just going to be a question of the timing at this point in time and having them come to fruition.
Tobey Sommer: Thank you.
Operator: Our next question comes from Andrew Nicholas with William Blair. Your line is now open.
Andrew Nicholas: Hi, good afternoon. Just wanted to follow up on Tobey's questions around margins. Just wondering kind of underlying that guidance what does guidance assume in terms of -- kind of the return of some of the more temporary cost savings you realized because the pandemic I'm thinking about kind of the more discretionary items like travel and entertainment and marketing meetings, and what that might mean for long-term thoughts on the cost structure?
John Kelly: I'll start on that one. Andrew I’d say the guidance generally contemplates that it's probably still a predominantly remote work environment through the first half of the year. And that by the time we get to the second half of the year that we do see some of those expenses related to business development coming back into the system at that point. We also expect, I think based on how we see the revenue growth trajectory that we're going to be as I said earlier, question that we're going to be more aggressively hiring at that point as well too. So I think that you will see relatively -- certainly if you're looking year-over-year, you're going to see lower expense levels in the first half of 2021 compared to what we had in the first half of 2020. I think by that time you get to the back half of the year, you will see some of those expenses increasing. But it's going to be commensurate to the revenue growth that we see. And in fact, I think it's going to be a period of expanding margins during that time. So you're going to see the revenue growth outpacing the expense growth, but you will start to see more expenses come into the system to support that growth in the back half of the year.
Andrew Nicholas: Great, thank you. That's helpful. And then, for my follow up, I just wanted to touch on healthcare hiring specifically, I think on last quarter's call you touched on or estimated about 60 employees or 60 staff members potentially leaving as a result of the restructuring, but it looks like headcount actually came in quite strong. So I'm just wondering if there's anywhere in particular that we should be thinking about in terms of where that hiring is focused on and what that says about demand for specific sub sectors within that business?
John Kelly: I think I can take the first and crack it Andrew, I think that even as we talked about during the call, last quarter on the actions that we had to take in the fourth quarter and we were really around some of those areas of the business that we thought were to be a little bit of a longer lasting impact to the pandemic, but in the areas where based on the conditions we see in the market, for example the performance improvement, solutions within healthcare there we do expect a rebound during 2021. So we're much more cautious there as far as reducing any heads. I think, as far as the hiring goes, we do continue to make strategic hires. And that's really at all levels bringing in key leadership in certain areas and people that we think are really going to drive our growth to accelerate in the recovery that we're expecting as the year goes on. So let's see what I think what you see there is a little bit of a mix where you've got some reductions in areas and they are likely to be a little bit slower to return the growth offset partially by some headcount increases in areas that we expect to grow more aggressively during 2021.
Andrew Nicholas: Got it. Thank you I’ll get back in the queue.
Operator: Our next question comes from Bill Sutherland with Benchmark. Your line is open.
Bill Sutherland: Thank you. Good evening, everybody. I was noticing the hourly bill rate for healthcare John, jumping up in the fourth quarter that -- is that anything to do with the nature of the projects or…?
John Kelly: Yes. Bill it is -- during the fourth quarter, we had some really nice performance on several key projects in terms of reaching some contingent fee milestones. As you know, the accounting rules for contingent fees now are generally more on a percent complete basis like our fixed fee jobs. But when you do reach certain milestones, you can get benefits that flow from P&L. So we had some of that during the fourth quarter, as well as some jobs where I’m keen just operated with excellent efficiency during the fourth quarter. And we were able to pick up some efficiency gains too. So all that is flowing through the bill rate for the fourth quarter. If I kind of spin that into a future looking, I would not take the fourth quarter healthcare bill rate and use that as a projection for next year. I probably though I think it is fair to look at the full year bill rate that we had in healthcare for this year, which was up nicely over 2019. I think that that rate probably is a reasonable way to look at things going into the future.
Bill Sutherland: Okay. And then just to revisit the M&A topic for a second. Done a couple of nice bolt-ons here for Business Advisory, should -- is that kind of what your pipeline as you look at the new additional opportunities is that kind of what it looks like? Is there anything that might be more of a difference maker more strategic? Thanks.
Jim Roth: Bill this is Jim. I think what you saw is going to be pretty much reflective of the things that we're looking at right now. When there's an opportunity for us to really take on a really important strategic addition to our competencies, we'll look at it, we were fortunate to get two really good companies to become a part of us. But I think that that will probably be reasonably reflective of any M&A that would take place in the future. Obviously, we look at all kinds of opportunities. But I think my sense is that this time, it would be mostly in line with what you've seen so far.
Bill Sutherland: Yes now --
John Kelly: And you would expect…
Jim Roth: I'm sorry, go ahead John.
John Kelly: Yes. I was going to add though and -- add to Jim's comments, when we were looking at M&A, really it's almost never more capacity of things that we already do it's usually adding new capabilities. And obviously the technology area is an area where we see -- the capabilities that are out there in the market or the things that are coming to market for our clients are continuing evolving. So oftentimes smaller tuck-in type acquisitions are a quicker way to get those capabilities into our portfolio. And the way we always look at it is first kind of going back to the strategy, second, and thinking about what in the long run is going to really accelerate our organic growth. And you -- then make decisions about okay, so what capabilities are you going to grow internally versus maybe where there's an opportunity to go and buy and accelerate something. And so I think the last couple of acquisitions that you've seen are perfect examples where our conclusion was that it was area where the technology was evolving it was going to be important to our clients. And it’s the fastest way for us to move into that space was via the acquisition versus building internally. And we're optimistic as we look forward to that in the long run in the next couple of years is going to provide more organic growth for us on having [indiscernible].
Jim Roth: And Bill this is Jim. I am sorry, I add one thing to John's comment that as sometimes, as we've seen not just with ForceIQ and Unico, but also in prior acquisitions of that size, we often kind of get to know them when we're working with them on a client site and we see the immediate synergies that exist and so it gives us a really good understanding to know how they would kind of sequence into our core set of services. So that's an added advantage. And I suspect that as things go on particularly in the technology area, that'll be indicative of what we're going to see in the future. And that is just organizations that are smaller organizations that we think can really add value to us in our technology portfolio. And that we also have a chance to kind of gauge their culture as well. So it's been a very good strategy for us to follow. And I feel I think we'll probably see more of that in the future as well.
Mark Hussey: And maybe -- Bill, this is Mark. I just want to throw one more comment in not to drain the swamp on this, but one of the reasons we can move on just tuck-ins is that kind of unbeknownst to many people over the last three years, we've really built four enterprise platform practices within our technology capability. So ERP, CRM, EPM, Data Analytics and so with that scale and going to now 20 partners in the mix, we have the opportunity to be a lot more targeted and selective. So that's why you probably won't see us do something of a -- more of a larger strategic acquisition in that space -- a very clear and compelling reason to do so.
Bill Sutherland: Great. Make sense. Thanks, guys.
Operator: [Operator Instructions] Our next question comes from Kevin Steinke with Barrington Research. Your line is now open.
Kevin Steinke: Hi, I wanted to ask about the Education segment, you noted some positive demand momentum there in several areas, although it sounds like the larger technology projects are still being deferred. What do you think it will take for higher education institutions to start moving forward with those larger technology projects? And is whether or not they do kind of a swing factor as to how -- where they are going to fall in the guidance range, I guess for the year.
Jim Roth: Kevin, this is Jim, I'll start-off by saying that I think what it's going to take, I think for them to get more confident about their ability to take on increasing projects particularly bigger projects is probably just stability. I think back in the late spring and early summer there was virtually zero stability in there on the campuses. In the fall, there was some but not a lot of stability. I think there's a little bit more right now. And so unless there's some other major blip, I think you're beginning to see kind of an increasingly stable environment. And that's what they're looking for. And I think once they get confidence if that's going to be the case. I know, they're hoping I know, we're hoping that that comes relatively soon, then I think you're going to start seeing things open up pretty quickly. In part because what the pandemic has really highlighted is exactly the need for the kind of services we're doing, particularly on our technology front, but also on our strategic front within education. And they're just really are -- I think in most cases, including even the larger research universities many of them were very behind the curve in terms of being able to incorporate advanced technology into their business. And so it came to fruition during the pandemic. And they were really kind of hindered by that. So I think once they sense some stability, in terms of the pandemic and their confidence that they're going to have -- kids can safely return to campus, I think that's when you'll see things begin to open up.
John Kelly: I'll add Kevin, that. Just to be clear, we do see some of these larger technology projects coming to market. So it isn't that uniformly university have paused on those projects, we have seen a number of them come through, we continue to see ones that we expect to close during the first half of this year. So that the projects are there it's more a case of just getting back to that growth trajectory that we had in 2018 and ‘19. And that's where mixed in with some of those that are going to market you do have some where there have been delays, which -- that's kind of what we're waiting for is for it to get back to that level that we saw into 2019. Ironically, as much as in the short-term, this is the area of the business where on the education side, where there's some reduced visibility compared to what we had in 2018 and 2019. The flip side, this is an area of the business where the needs of our clients are pretty well defined and the market is pretty well defined. And it's a big market. And we think in the long run, it's going to be perhaps the greatest market opportunity for this business, once that stability that Jim refer to comes back into the system. But it is a bit of timing right now and just kind of reduced visibility from what we're used to when it given the impact of the pandemic.
Kevin Steinke: Great. Yes, that's helpful. Okay, thanks. I want to also ask about within Business Advisory, your strategy offerings, you mentioned that all full year, businesses within that segment are positioned for growth in 2021. So what is the pipeline look like and the strategy piece of the business, is that a case to where clients are still kind of holding off until they get some more comfort or is that pipeline moving forward at all?
Jim Roth: Yes, I think the pipeline for the strategy business is actually moving along quite nicely. I think the hardest hit to that business was probably at just the very beginning of the pandemic back in the -- certainly the first half of the year and probably into some of the summer as companies were just trying to figure out where this was going. We've seen the pipeline's pick up nicely in that business and I think they're -- I think we're pretty confident they're going to have a much better ‘21 than they did ‘20.
John Kelly: Yes, the thing that earlier in the year Kevin was if you think about kind of their strategy offerings in the immediate aftermath of the pandemic when companies necessarily are first forced to look a little more short-term focused they were going to be pretty heavily impacted because of that shifting priority -- prioritization from our clients. But we said that on the flip side coming out of an event like that, the expectation would be -- the demand would actually pick up because of clients need kind of -- in the aftermath to start to rethink their strategy and how they're going to move forward in the new environment. And to echo everything Jim said, I think we're very optimistic that we're seeing that now in the pipeline. And we definitely expect growth from that part of the business in 2021.
Kevin Steinke: Okay, good. I want to ask about you mentioned that you internally had a new cloud based ERP system go-live January 1, should we think about that providing a longer term opportunity to generate cost savings or what other sort of benefits might be able to derive from that?
Jim Roth: In the long run, Kevin, we are thinking of it as a opportunity in the long run to support enhanced margins for the business as we grow. And I think the real opportunity there from our perspective is just the additional visibility, the new system is going to provide for our projects as far as giving us visibility to situations where we might have an overrun or where things aren't progressing as we had expected kind of getting better real time information about that will be great. And then in terms of just our talents, we're really excited about the tool. As far as its ability to really help us identify the best talent within [indiscernible] different projects even across on different segment lines and different project line -- different lanes in terms of different practices and the ability to make sure that we are able to get the right resources on the right projects at the right time. So from our perspective those are two things when you think about running a professional services business that should enable a lot more efficiency as we move forward. And there's automation that's part of the tool to that when we think about growing the business, as we plan to do over the course of time. We expect to be able to use that efficiency that comes with the tool to be able to grow more efficiently without having to lay around a bunch of new or incremental SG&A costs. As we grow, so I think those are probably the facets of it, where we see the opportunity to expand margins over time.
Kevin Steinke: Okay, good. Just two last quick ones here. So how are you thinking about capital allocation in 2021? You still want to continue to pay down debt? Are you kind of more at your comfort leverage ratio now? So that they will open up the opportunity for share repurchases? It sounds like you still want to pursue the tuck-in M&A. But how you thinking about capital allocation this year?
John Kelly: I think, Kevin, from our perspective, it's going to -- we're going to continue with a balanced approach to it. As you noted there are tuck-in M&A opportunities that we think have a good chance to really add new capabilities to the business that will spur organic growth into future periods. So that's something that we pursue. As far as share buyback goes, we currently have a $50 million authorization from our board of which we got $45 million left. And so I guess, depending on the opportunity there, that's another area where we may deploy cash. And then just from a principle perspective, we do have dilution of our share-based -- from our share-based compensation programs. And to the extent we can use share buybacks to offset some of that dilution, that's something that we're committed to doing. And then from a debt perspective, I think it is -- it does just remain important to us to make sure that we have flexibility and to make sure that our balance sheet remains in healthy shape that it's in now. So kind of default when we're not doing either M&A or share buybacks will be to pay reduce our net debt balance.
Kevin Steinke: Okay, great. And then just the last one and do -- have you baked in any performance fee number in the 2021 guidance?
John Kelly: I think, Kevin, if you look at the past two years, it's been pretty consistent around $70 million. And while we don't have perfect visibility as to exactly how the mix is going to evolve over the course of the year. I think that that run rate when we think about 2021, based on what we can see right now is probably a reasonable way to look at it.
Kevin Steinke: Okay, thanks a lot. Appreciate it.
Operator: Our next question comes from Josh Vogel with Sidoti and Company. Your line is now open.
Josh Vogel: Thank you. Good afternoon, guys. I'm thinking about the current bench and just kind of going back to one of the earlier questions, but thinking about the current benchand potential hiring as the year progresses. What is your target utilization rate? And do you think you can get there by late ‘21 within the existing base, if you're optimistic scenario plays out?
Jim Roth: I think we can get there. There's [indiscernible] in the last question first by the end of the year, that's certainly the way our internal plans are built. Our target utilization it varies a little bit by segment just given the leverage models of the different businesses, size of projects, different factors like that that can be unique, I'd say within healthcare business, upper 70s is where our target utilization is within the education business, it tends to be mid to upper 70s. And then in the Business Advisory segment, it tends to be low to mid 70s. And that really reflects the strategy in distressed businesses, which tend to have less of a leverage model. And so that tends to bring down utilization for that part of the business. But I think what we'll see is more of a ramp throughout the year, I think you'll probably see in Q1 utilization in the mid-to-high 60s for healthcare and education, I think you'll see that progress to on the low-to-mid 70s by the second quarter. And then the expectation is that by the time where the back half of the year that we're getting to utilization rates that are more consistent with those targets.
Josh Vogel: Thank you for the insights there. A comment around the incremental $30 million in revenue that came from those offerings that were in direct response to COVID. What exactly did that work entail and has any of that carried into 2021 and baked into your guidance?
John Kelly: So there are elements of that work. I mean, it really falls into a few different categories. And Mark or Jim feel free to jump in if I leave any components of it out. But we did a lot of work as it relates to testing treatment and tracing from a COVID perspective helping healthcare and higher institutions as well as laboratories manage their flow of testing volume, manage their capacity make sure that we're finding the right routes to be able to manage that flow so that the process could work as efficiently as possible. There are definitely technology projects included in there and where we helped our clients on the fly, update their technology to better support remote activities, whether it was telemedicine support or supporting remote education. Another area that came up was hospitals wanting to build up virtual capacity for hospital patients given initially the surge of COVID cases, but then eventually also just wanting to have an option for patients that was outside the four walls of a hospital so people that weren't comfortable going in for elective procedures. And so we help clients with some of those activities as well. So I'd say that that was probably the bulk of the $30 million during the year. And indeed some of those projects are expected to continue on into 2021. Another one would be stimulus funding management. We kind of built out a gateway at the beginning of the pandemic when the stimulus packages came out there that really laid out on our core industry areas where there are opportunities for that stimulus funding. And we had a number of just kind of strategic projects going through those stimulus opportunities and figuring out the best way to manage from a client perspective.
Jim Roth: Yes, Jim, I think John, that was a good summary. At one point I would reiterate those that kind of the creating additional capacity for the hospitals by having hospital at home type of environments. We had started doing some of that work before the pandemic hit and the intent at that point time was really for hospitals that were interested in trying to take out lower acuity patients and getting them out of hospital if it was feasible and so that started kind of pre-pandemic. And then when the pandemic hit, I mean the timing was made it even that much more critical to get those patients out whenever you could. So I think that combination is still going to see we're going to still see a lot of that continue well into the future, I think what the last year has proven, was that there are a lot of opportunities for patients to be treated more efficiently and in some cases more effectively outside the hospital. And so in an odd way, the last year really gave us an opportunity. And the partners that we work with gave us an opportunity to really kind of take advantage of that. I think you're going to continue to see that increased demand as time goes on.
Josh Vogel: All right, great. Just one more for me, maybe a little bit higher level, but you talked about in the past how healthcare clients, they were impacted by the drop in elective and non-urgent surgeries. And I was just curious what are you seeing around activity levels there with regard to those procedures? And what your healthcare clients are saying and is it carrying into an improving thus far this year especially as the vaccine is getting rolled out?
Jim Roth: Well, Josh it's actually there's a couple things that have occurred? First of all, to answer your question directly I mean I think obviously it varies, but I think in most cases, I think most hospitals have not yet got back to 100%. I think some of them are hovering between 85% and 95%. In part, because you've had this kind of couple blips with a lot of COVID patients coming in. And then you still have a fair number of people that are just reluctant to get treatment right now, which is a problem, it's going to cause a problem later on. So I think a lot of them have seen that the elective surgeries come back relatively strongly, but not too often to the level that they were at pre-pandemic. So that creates some revenue pressure on that end as well. But at the same time, I think they're beginning to find that there's new avenues for treating some of those patients as both good and bad. Hospitals are learning that but others are us obviously other entrants into the market are also learning that there's some opportunities here to take some of those clients to those patients rather and treat them in a different fashion. So I think the net result of what the pandemic does if the pandemic were to miraculously disappear tomorrow. I think the big question for a lot of our healthcare clients is what does the future look like? And that's where we're doing a lot of our work right now is helping them trying to figure out what did change? What's going to change? And how do we respond to that in a way that enables us to be efficient and make the kind of margins we're looking for. And that is where I think you're going to see a lot of opportunity for us both on the strategy side, the operational side and also the technology side.
Josh Vogel:
.:
Jim Roth: Thank you. Mr. Roth, we have concluded a lot of time for this call. I'd like to turn the conference back over to you.
Jim Roth: Thank you all for spending time with us this afternoon. We look forward to speaking with you again in May when we announced our first quarter results. Have a nice evening.
Operator: That concludes today's conference call. Thank you everyone for your participation.